Operator: Good afternoon, ladies and gentlemen, and welcome to the Burcon NutraScience Corporation Fiscal Year-End 2025 Conference Call. [Operator Instructions] Please be advised that this call is being recorded today, Wednesday, June 25, 2025. I would now like to turn the conference over to Kip Underwood. Please go ahead.
Kip Underwood: Thank you, operator. Good morning, good afternoon and good evening to those around the world on the call today, and thank you for attending our quarterly review. These are certainly exciting times at Burcon. We have strong customer interest, good progress at our manufacturing facility in Galesburg, Illinois, capital market momentum, certainly exciting times that we review with you all here today. We'll start with our safe harbor statement, let you all look at that for a few moments. So as I mentioned today, we'll go through recent milestones, a growing consumer market. We'll touch on our differentiated portfolio, really the secret sauce that makes Burcon what it is. Exciting to, again, reiterate our direct route to market through our Galesburg  manufacturing facility, strong customer interest exhibited by our robust pipeline, and hopefully, for those on the call today, what you see as a tremendous investment opportunity. And then in the end, obviously, we will close for Q&A. We have made significant progress over the last 3 months. So if we roll back to just prior 2, 3 months ago, we closed our rights offering fundraise at $9.4 million. We worked with our alliance partner to acquire the manufacturing facility in Galesburg , again, giving Burcon a direct route to market for our technology. We've announced the first commercial production of our pea protein, our Peazazz C pea protein, very exciting, followed by part of our overall broader capital market strategy, executing a 20:1 share consolidation. And then recently announced that we've entered into a $6.8 million multiyear contract manufacturer agreement, a minimum of $1.4 million per year. We'll go into this more in the future, but certainly exciting for us. It baseloads our facility and gives us a revenue stream from the very, very beginning. So very impactful last 3 months for Burcon. We think it's important to start with the market, and we are certainly targeting a growing market. End consumers -- drive the activities of our customers, and end consumers are seeking proteins, in particular, they are seeking plant proteins. Consumers are seeking plant proteins, both because they're healthier for them and they are healthier for our planet, which means we as Burcon are targeting a large growing market at the very beginning of its growth runway as more and more consumers transition from traditional proteins to plant proteins. That's important for us is that is where our technology is tremendously differentiated, right? We have a portfolio, sunflower, pea protein, canola protein. We've launched our hemp protein. These are proteins we've launched to the market where we upcycle, generally speaking, the byproducts of grain production, to produce pure proteins with unmatched purity that fuels superior taste, superior color and functionality. That is important because as those customers, I talked about, seek to meet those new consumer needs, they need to meet their needs with a product that tastes great, that delivers the benefits of protein, and that is where Burcon's products deliver truly best-in-class protein production -- performance. We have our market. We have the technology. The real unlock that occurred roughly 3 months ago was with our alliance partner acquiring the Galesburg, Illinois facility and giving Burcon a direct route to market. It's tremendously exciting for us and where we have spent, frankly, a considerable amount of our time over the last 3-plus months. To remind everybody, we have full operational control. The facility has the capability to produce our entire portfolio. The facility has the capacity for us to fully execute our business plan. It is a 7-year agreement, just tremendously exciting, and I can vouch for. I myself personally as well as many members of our team have spent considerable time in Galesburg. One of the things that made this site perfect for us was the existing workforce that allows us to scale and produce faster. And I can say without a doubt that the integration of the team in Galesburg with the team from Burcon has truly been seamless, and we are truly working as one team now to produce Burcon's best-in-class proteins. The other key part of execution is sales. Customer interest has been phenomenal in our products. They have been waiting patiently for us to deliver to them commercial scale samples, samples produced from the Galesburg facility. And then it's important because what you see here is our funnel. Our project funnel mirrors the customer decision time line. That time line is -- to launch a new consumer food is 9 to 18 months. We have many customers that are in the last step of that process. And the last step of that process for them is to bring in and evaluate commercial scale production to ensure the technology performs at commercial scale, both from us and in their manufacturing process. And we're excited to say we are at that last stage with many, many customers, particularly along pea protein, where, again, we announced previously successful commercial scale production. I'd also again like to highlight the $6.8 million multiyear agreement that we have, it is a contract manufacturing agreement. And a lot of people ask, how is that relevant? What does that mean? So this is -- we are performing a service for somebody, producing their ingredient for them, and it does really 3 things for us. First and foremost, it gives us a revenue stream, which is vitally important. It also helps us produce our own products. I mean simply put, manufacturing facilities that run more often run better. So even the fact that we're doing this contract manufacturing, it helps us produce our products better. It helps us scale our technology. It helps us to be more efficient and helps us deliver more and better consistent quality. So really exciting customer pipeline, many commercial scale samples currently under evaluation at the last stage in the customer decision process and can't wait to communicate future news along these lines. We have the market -- target growing market. We have the technology. We have the ability to produce in a robust customer pipeline. You put that together, and we believe we have a tremendous investment opportunity, both for our existing shareholders as well as new shareholders. So we are in Phase 1 right now. We have communicated to the markets. We expect $1 to $3 million of revenue in 2025. And as I just went through, certainly very confident in that mark. We have communicated double-digit $10-plus million revenue in calendar '26 and cash flow positive in calendar '26 as well. We are in Phase 1 right now. That is producing and selling execution phase. Phase 2 is where we will scale to the capacity of Galesburg. And then Phase 3 is tremendously exciting. It's where we look to scale the technology, both ourselves, further growth as well as look to licensing partners around the world. Again, a tremendous investment opportunity, we believe, for the market out there. We're at the very beginning of this growth curve and really exciting for our investors to go along this journey with us. Looking ahead, the first thing I want to do is just look a little bit behind. It's very important to us to build our credibility. Our phrase is we say what we do and we do what we say. And we communicated a series of actions that was going to happen in the first half of 2025, and we have met everything we communicated to the market. Looking forward, we expect in the second half of 2025 production, ramping of our additional products, so the production of sunflower, the production of canola protein, growing our sales, so communicating successful sales, successful customer supply contracts. That leads into 2026, again, we have communicated $10-plus million in revenue for calendar '26 and cash flow positive. These are certainly exciting times for us here at Burcon. Again, the tremendous unlock with our partner, ProMan alliance to acquire the Galesburg facility and give us a path to bring our product, to bring our technologies to market, robust customer pipeline, customers who are wanting to buy in the late-stage evaluation process. And we certainly believe that the future is bright for Burcon and are excited for our investors to come along this journey with us. Operator? Kaya, this is Kip.  I believe we're ready for the Q&A sessions.  We have several...
Operator: [Operator Instructions] Your first question comes from Dave Storms.
David Storms: Just wanted to start with the grab bag around revenue guidance. Just curious, does this include any additional wins on the horizon or any royalty revenues that you might see? Or is all that baked in? And then maybe additionally, is there any commentary around the pacing of that ramp of revenue?
Kip Underwood: Thanks, Dave.  So the near term would be -- near-term revenue would be driven by the future sale of our products, right, so almost entirely. I mean the licensing conversations are always there. But a key part of our strategy to get the real value of a license is to establish the price points and the customer demand in the marketplace before we go there. So for us, again, we've started production, completed commercial scale production of pea. We'll be rolling that out to our other products. And then we expect those late-stage customer projects, I mentioned, to turn into significant sales here for us in the back half of '25, again, the communicated number of $1 million to $3 million, Dave.
David Storms: Understood.  And then with now that Galesburg is up and running, I'm sure you have a little more visibility into how everything is moving through and included on your P&L. Any thoughts around what a margin profile at a stable run rate would look like once [ you're at ] capacity?
Kip Underwood: What we've communicated is when we get to full scale capacity, we have gross margins north of 50% once we drive the capacity utilization. What I can say, what we've learned also over the last 3 months is, having personally spent a significant amount of time there, is if anything, on the ground level, we have full confidence that we can achieve the underlying financial assumptions, cost assumptions we have in our model. And if anything, we believe as we look under the hood, there's additional opportunity for us in the future.
David Storms: That's very exciting. And then just kind of switching gears here. Now that you have done the consolidation, any thoughts on next priorities for your capital structure?
Kip Underwood: I think for us, again, we have a balance sheet that allows us to execute our plan. And I think we're really going to be focused on the basics of producing high-quality product, turning that into sales with our customers, driving our top line and then communicating that to the market so that the markets can then see our robust financial performance. So we feel pretty good about those. 
David Storms: Understood.  That makes a lot of sense. Last one for me here, more of a modeling question. It looks like you have a cash burn rate of about $1 million to $2 million per quarter. This seems sustainable given your current cash position and the assumption that you will be cash flow positive by 2026. Does this seem reasonable to you? And then additionally, do you have the shares outstanding number for year-end?
Kip Underwood: Yes, that's reasonable. Again, we -- us moving to cash flow positive state is around ramping revenue really back half of this year going into next year. Strong underpinning of that again is the contract manufacturer piece we already announced of $1.4 million per year minimum. Outstanding shares right now, Dave, I can get you the exact number, but 12.7 million is the current outstanding shares.
Operator: Your next question comes from Bill [ Gabrys ], private investor.
Unknown Attendee: Last November, you announced in a news release collaboration with Puratos in Belgium. And I'm just wondering, can you comment on where -- on the status of that collaboration? And is there a prospect for sales with Puratos?
Kip Underwood: So what I can say is that collaboration is ongoing. That collaboration was really -- is centered around the use of our canola protein into baking. One of the avenues for that is the use of canola protein to replace egg protein in baking goods. So think about it if you bake a cake, you had an egg. At a commercial level, people add eggs for the same reason. Eggs are highly volatile from a price perspective and are those who want a more plant-based offering in goods, and we're seeing real traction in the marketplace with our canola protein as a potential egg replacement or the enabling of a plant-based positioning on a baked good. And all of that really is underpinned by our work with Puratos.
Operator: [Operator Instructions] Okay. So if there are no further questions at this time, I will now turn the call over to Paul Lam, Private -- sorry, Director of Investor Relations. Please continue.
Paul Lam: Thanks, operator.  We have a question from our webcast. This is from Michael [ Meckesheim ]. Has any consideration been given to acquiring the Burcon process equipment from the old Merit plant as it appears the building is going to be repurposed. Kip, Any comments on that?
Kip Underwood: Sure.  So yes, we are aware of that. And looking into the future, one of the reasons -- many reasons long term, we're very excited about the Galesburg site is that we have the land and the building to allow us to increase capacity in the future in a very capital-efficient manner. And certainly, as we look forward to doing that, we will be looking where there may be a good deal on equipment that fits our process. But certainly, we're well aware of the situation and are looking at what's available.
Paul Lam: Okay. So far, there aren't any further questions. [Operator Instructions] Okay. I think we're good. Operator, please...
Operator: All right. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.